Operator: Ladies and gentlemen, thank you for standing by for Autohome’s Third Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference call is being recorded. If you have any objections, you may disconnect at this time. It is now my pleasure to introduce your host, Edith Kwan, Autohome’s IR Director. Ms. Kwan, you may begin.
Edith Kwan: Thank you, operator. Hello everyone and welcome to Autohome’s 2015 earnings conference call. Earlier today, Autohome distributed its earnings press release and you can find a copy on the company’s website at www.autohome.com.cn. On today’s call we have Mr. James Qin, Autohome’s Chief Executive Officer; and Mr. Nicholas Chong, Autohome’s Chief Financial Officer. After their prepared remarks, James and Nicholas will be available to answer your questions. Before we begin, please note that the discussion today will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but not limited to those outlined in our public filings with the Securities and Exchange Commission. Autohome does not undertake any obligation to update any forward-looking statements except as required under applicable law. The earnings press release in this call also includes discussions of certain unaudited non-GAAP financial measures. The press release contains a reconciliation of the non-GAAP measures to the most directly comparable GAAP measures and is available on Autohome’s IR website. As a reminder, this conference call is being recorded. In addition, a webcast of this conference call will be available on Autohome’s IR website. I will now turn the call over to Autohome’s Chief Executive Officer, James.
James Qin: Thank you. Hello everyone. Thank you for joining our third quarter conference call. I would like to start with an overview of the overall macroeconomic environment first. According to the China Association of Automobile Manufacturers' data, for the first nine months of 2015, China’s OEM passenger car sales grew 2.8% year-over-year, which represents the softest annual performance since 2011. Currently, sales growth has turned positive with inventory levels returning closer to normal levels. And the government announced a favorable tax policy to halve the vehicle purchase tax to 5% for passenger vehicles with engines that are 1.6 liters or smaller, which represents more than 60% of the vehicles in the market. For the near term, we remain cautious about the magnitude of consumer sentiment turning positive. However, despite the overall soft macroeconomic environment, for the full year 2015 we're very pleased that currently we're expecting to deliver approximately 56% to 58% of revenue growth year-over-year, which our CFO, Nicholas will present in more details later. For the mid to long-term, we are optimistic about the growth of Chinese auto market given the continued growth of the middle income class. I want to emphasize that the overall macro impact on us should be relatively small due to the strong structural trend of offline to online migration in China, which means not just online migration of advertising and lead gen, but also online transactions which we believe will be the next revenue driver for Autohome in the coming years. Now let's talk about the third quarter highlights. Again, we have another outstanding quarter where revenue increased by 65% year-over-year, exceeding our original expectation. Meanwhile adjusted net income grew 40% year-over-year and adjusted net income margin reached nearly 29%. We're excited that our business and financial performance surpassed the industry average which reaffirms our precise execution of our strategy. In terms of traffic for the third quarter, we saw great progress on the mobile front. In September, the combined number of average daily unique visitors for our mobile site and mobile applications amounted to approximately 11.9 million which grew 7.8% year-over-year and 22% quarter-over-quarter. As we all know, mobile usage not only drives strong traffic growth which translates into increased revenue, but also helps expand our user community which continuously contributes to the user generated content and enriches our active user behavior database. This will in turn attract more and more new users and customers to our platform. In order to accelerate and sustain such network effect, we have continuously been making sound investments in mobile user acquisition in order to solidify the critical foundation for users to adopt and to embrace our mobile products. I am confident that our past investments are bearing fruit already as our mobile advertising revenue grew 76% sequentially and more than 4 times compared with the same period last year accounting for 21% of the automaker advertising services revenue. Also, mobile accounted for a record high of 67% of our total sales leads contribution. Autohome has long been well recognized as the leading online media platform that can enhance the brand equity and close sales for automakers. Amidst the relatively weak auto market, our automaker advertising revenues still grow more than 52% year-over-year in the third quarter. This is because during the industry hirings, automakers become more selective in choosing partners who can deliver real sales benefits. This is where we can differentiate our value proposition in delivering superior ROIs and thus continue to achieve industry-leading performance. Going forward, we are confident that we will continue to outpace the market based on our outstanding traffic performance and transaction capabilities. Now on our lead generation business, we significantly grew our dealer yellow page business in the third quarter by over 78% year-over-year. Dealer subscription revenue alone increased significantly 80% year-over-year, mainly driven by two major factors. One is the expanded coverage of paying dealers which reached 19,488, up more than 33% compared to the corresponding period a year ago. The second factor is that dealer subscription ARPU increased close to 35% year-over-year as our premium products continued to deliver more benefits. With this fast expanding dealer customer base, we will further up sell more performance based and transaction based products in the coming years for which we have been actively pursuing in the last few months. For example, we expanded our [indiscernible] (7:31) systems service which provides personalized attention and customized knowledge of products, market trends and sophisticated service through the purchase process and has been viewed as an important tool to facilitate sales. Now this service has covered seven cities in just four months after its launch. In addition, our nationwide group buy campaign proved to be a great success. In the third quarter, we engaged more than 1,000 dealers across the country covering 34 cities. More importantly, we complete more than 1,700 transactions in six weekend days, which means that on average, more than 300 cars were sold every hour through Autohome. Besides core business operations which I have just highlighted, I would like to share with you our recent new initiative in the transaction business. As you may know, the Chinese auto market is becoming more and more buyer driven these days. With Autohome's number one position in user traffic and user engagement, we have continuously aggregated massive and comprehensive demand data which we can leverage in establishing a liquid online transaction platform to precisely match the auto consumers and suppliers. Therefore, we decided that it is a natural business expansion for us to operate in this marketplace in order to greatly enhance the consumer experience and to significantly improve the sales efficiency for both the auto consumer and the suppliers. As a result, we expect that our transaction initiative will further expand our user traffic, enhance user loyalties and advance our relations with our supplying partners. Obviously, an additional benefit of our transaction initiatives is the expansion of total addressable market for us. Currently, the total addressable market for our existing core business is approximately RMB100 billion, of which we have about 4% of this market. The incremental TAM we expect for our transaction business will be at least another RMB300 million, which is more than 3 times the size of the existing TAM. And we aim to become one of the leaders in this market in the next few years. In order to achieve such growth, it is important to note that our transaction business and revenue model have several aspects. First, we will gain revenue in connection with our targeted incentive programs such as flash sale, pop stores etc. from OEMs and dealers. Secondly, we will earn commission fees from OEMs and dealers when we successfully facilitate a transaction between a consumer and the suppliers. Thirdly, we work with OEMs to directly sell certain vehicles on our platform. We call the second and third revenue stream together as B2C business model. However, I want to be clear that the transaction initiative is a mid to long term plan for us and we do not expect a meaningful profit contribution in the near term. We are confident that this new business will be instrumental in solidifying our brand equity, market leadership and financial performance in the future. Having said that, in the third quarter, we continue to expand our transaction business as we have been actively preparing our third annual single day sales event. Every year, we make innovations to test our various transaction services. This time, we will be focusing on several main themes, including price transparency, personalized recommendations for car buyers, multi-sales channels and aftermarket services offering such as financing and car delivery. On the other hand, for the B2C model, in September, we were the first and the exclusive online channel selected by Dongfeng Peugeot Citroen Automobiles or DPCA in short term, one of the China's leading OEMs to sell its limited edition and top selling sedan, Peugeot 408, also the FAW Mazda CX7, a mid-sized SUV which has been in the market for a while. Since its launch at Autohome Mall for example in September, more than 150 units were sold with just one week and our sales contributed a significant year-on-year growth for the automaker. We expect more to come. All in all, in the past few months, we have successfully penetrated into more automakers and dealers and close e-commerce collaborations such as Chang'an, the DPCA Group, Chery, Guangzhou Automobile Group, JAC, FAW Mazda, SsangYong and the China Grand Auto Dealer Group. We're confident that our capability to precisely match the auto consumer demand and our suppliers will further enhance our platform reach, sales efficiency, services scope and price transparency. With all of those efforts in the first nine months of 2015, we were very pleased that Autohome facilitated about 70,000 new car transactions whilst sustaining our industry-leading margin and robust core business growth. Before I turn the call over to Nicholas, I want to emphasize that three pillars of our business which reinforce each other as the foundation of our business. First, as a leading online auto media platform with volume traffic in China, we are the preferred advertising channel for our auto partners with highest penetration rate in the industry. Secondly, our fast growing lead generation platform, primarily driven by our leading traffic and advanced technical analysis is considered the most effective channel in sales conversion. Now, with our transaction business ramping up as the third leg of growth, we expect to leverage our combined media and lead generation platform in capturing enormous growth opportunities in front of us. As a result, these three pillars of our business, coupled with our user insights and analytics capability will comprehensively and effectively link each stage of our users' automotive lifecycle with the corresponding stage of our auto partners' sales cycle. With that, I will now turn the call over to our CFO, Nicholas, for a closer look at our third quarter results and our outlook.
Nicholas Chong: Thank you, James. Hello, everyone. As James has already highlighted, we are very pleased to report another strong quarter with outstanding financial performance. Note that I'll reference RMB only in this discussion, but you can find the equivalent U.S. dollar numbers in our press release issued earlier today. Net revenue for the third quarter increased 64.9% to RMB898.6 million from RMB545.1 million in the corresponding period in 2014. This surpassed the high-end of our initial guidance primarily due to robust growth across the board as we are capturing more of automakers' budget with higher ROI during the relatively weaker auto market. In terms of revenue breakdown, automaker advertising service revenue increased 51.7% to RMB406.5 million from RMB268 million in the corresponding period in 2014. This robust growth is mainly driven by mobile revenue contribution. During the quarter, the dealer yellow page business which includes our dealer advertising and dealer subscription services grew 77.6% year-over-year. Separately, dealer advertising services revenue increased by 74.2% to RMB205.1 million from RMB117.7 million in the corresponding period of 2014. This solid growth is mainly driven by special campaigns such as nationwide group buy and other transaction products and services. Going forward, we expect that pure dealer advertising will be relatively stable while our transaction revenue will continue its growth momentum. Meanwhile, dealer subscriptions revenues increased 80.1% to RMB287.1 million from RMB159.4 million in the corresponding period in 2014, as a result of both increased ARPU and increased number of paying dealers. Specifically, our ARPU increased 35.1% year-over-year at dealers as we continued to up sell our premium package with increased rates earlier in the year. In addition, the number of paying dealers increased 33.4% year-over-year to 19,488 compared to 14,614 in the corresponding period in 2014. Now let's take a closer look at our operating expenses by line item. Note that I have mentioned in the past that while we are investing in an emerging transaction business and according with our plans, we are very cost efficient and prudent with our overall spending. Our cost of revenue during the third quarter was RMB159.7 million or 17.8% of revenue which is stable compared to the corresponding period in 2014. Next, sales and marketing expenses was RMB335.6 million or 37.3% of revenue, primarily due to increased marketing expenses and headcount and related compensation costs. Part of the marketing expense increases are for our tenth anniversary event and a new product promotion campaign. Product and development expense in the third quarter was RMB73.8 million or 8.2% of revenue, relatively stable compared to the corresponding period in 2014 and in support of our rapid growth. Finally, general and administrative cost was RMB43.9 million or 4.9% of revenue, slightly decreased compared to 5.1% of revenue for the corresponding period in 2014. This is primarily due to our enhanced operating leverage and economy of scale. As a result, total operating expenses for the third quarter increased 83.6% to RMB453.2 million from RMB246.8 million in the corresponding period in 2014, representing 50.4% of revenue compared to 45.3% in the corresponding period in 2014. Even with the increased expenses during the quarter, we still delivered industry-leading profitabilities is a strong testament to our proven execution capabilities of the management team. Specifically for the third quarter, gross profit increased by 64.8% to RMB738.9 million from RMB448.4 million in the corresponding period in 2014. Operating profit increased 41.7% to RMB285.6 million from RMB201.6 million in the corresponding period in 2014. Adjusted net income increased 40.3% to RMB258 million from RMB183.9 million in the corresponding period in 2014. Basic and diluted earnings per share and per ADS for the third quarter were RMB2.05 and RMB2 respectively compared to RMB1.59 and RMB1.52 respectively in the corresponding period in 2014. Turning to balance sheet and cash flows, this is also a key performance metric for us. As of September 30, 2015, we had cash and cash equivalents and term deposits of RMB3.5 billion. Net cash provided by operating activities in the third quarter was RMB295.8 million compared to RMB132.8 million in the same period last year. Let me now address our fourth quarter and full year outlook. As you may recall, we had an extraordinarily high base of fourth quarter last year, and we are less likely to expect the same pattern for the upcoming fourth quarter. However, we remain optimistic about the mid to long-term secular trends for our business going forward. Factoring in this consideration for the fourth quarter of 2015, we currently expect to generate net revenue in the range of RMB942 million or $148.2 million to RMB979 million or $154 million, representing a 27.4% to 32.5% year-over-year increase. This means that for the full year of 2015 we currently expect to generate net revenue in the range of RMB3,324.5 million to RMB3,361.5 million, representing a 55.9% to 57.6% year-over-year increase. To conclude, we have significantly enhanced the foundation of our business. Today Autohome is more valuable and in a better position to capture the huge opportunity in auto advertising, lead generations and transactions. We are continuing to accelerate our growth and advance our emerging auto-related transaction platform while delivering sustainable profitability to our shareholders. With that, James and I are ready to take your questions. Operator?
James Qin: There was a reading error I would like to restate. The combined number of average daily unique visitors for our mobile sites and mobile applications amounted to approximately 11.9 million, which grew 73% year-over-year and 22% quarter-over-quarter, not 7.8%, it's 73%. Okay, now I think we're okay to take questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Your first question comes from Amanda Chen from Morgan Stanley. Your line is open. Please go ahead.
Amanda Chen: Hi. Good evening, management. Thank you for taking my question. My first question is regarding your Q4 guidance. We understand that last year we have a very high base, so it makes us difficult to deliver a very high year-on-year growth. But could you please give us more color besides the high comps? Do we see any other specific reason behind this relatively soft guidance? Thank you.
Nicholas Chong: Amanda, yes, I think you are right that last year we had a high base. I think last year the Q4 grew 91.5% year-on-year. I think partly why the high growth last year was because I think the auto industry had a good growth last year of 9.9%. So I think most OEM at that time, at Q4 still had a good chance of delivering the sales target and hence I think we saw an increase in the spending in December last year. I think for this year what we saw was that, I think the most OEM is not going to meet the sales target that they have set at the start of the year, and so most of them I think would choose to protect the profit. So I think that's why we think that it's not as likely as last year that they will increase the budget in December this year.
Amanda Chen: Got it. Thank you.
Nicholas Chong: But I think if you look at the – for the full year, I think the – our growth rate for the full year will still be around high 50% to about 60%.
Amanda Chen: Okay. Great. My second question is regarding our new business, especially the transaction-related business. Could you please give us some, I don't know, outlook or maybe guidance in 2016, how do we see the business really will develop? Do we have any transaction volume targets for 2016? Thank you.
James Qin: Okay. So, we estimate that the total addressable market is much bigger than nowadays and given this market is in the early stage and there are a lot of revenue growth opportunities. And currently we do not give a forecast on 2016 sales target.
Amanda Chen: Okay. So, besides the current new transaction business model, I guess two for OEM, two for dealers, which will be over I think core transaction business will develop in 2016.
James Qin: I think our intention is to grow – the focus is to grow the business dealing with OEMs. But on the other hand, I think sourcing vehicles from dealers will benefit a lot to enrich the offering, product offerings of our Autohome Mall. So that is very important as well.
Amanda Chen: Got it. Thank you. That's all my questions. Thank you.
Operator: Your next question comes from Alan Hellawell from Deutsche Bank. Your line is open. Please go ahead.
Unidentified Analyst: Hi. Good morning, management. This is Alan asking on behalf of Alan Hellawell. Thanks for taking my question. So my first question is regarding our used car business. So could you share us with some operating metrics for our used car platform [Foreign Language] such as transaction volume, growth rates etc.? And also, what's our strategy in the used car segment and how do you think our core competitive advantages over other used car platforms such as [indiscernible]. Thanks.
James Qin: I think in general we're in a different line of business. So if you ask me in general what is our used car business key performance metrics, we're currently looking at the number of listings. And as a main platform over the Internet, we definitely look at the DAUs and engagement level. So in Q3, our accumulated listing reaches to 3.7 million doubled year-over-year and currently – so those are the numbers we use.
Unidentified Analyst: Okay, got it. So my next question is on our sales and marketing expense. So could you give us a breakdown of our sales and marketing expense? For instance, how much comes from the traffic acquisition, how much from the promotional campaign, and the headcount increase. Thanks very much.
Nicholas Chong: I think Alan you're referring to which one, Q3?
Unidentified Analyst: Yes, third quarter. Yes, sales and marketing expense, the breakdown of the sales and marketing expense.
Nicholas Chong: Yes, I think let me first walk you through that. I think in Q3, we saw an increase in the sales and marketing expenses versus Q2 for reasons that actually we have highlighted in the last call. A couple of things. One is the – because of the, for example, we have the tenth anniversary spending and also we have another marketing campaign that we have spent on was on the [indiscernible] which is the campaign that we work in July and early August with dealers across 34 cities. That's the spending on that. I think on the traffic acquisitions, Q3 versus Q2 is more or less squared. There are some savings on the PC traffic acquisition because we renewed the Aladdin contract only in August, but that was sort of partially offsetted by the increase in the mobile spending.
Unidentified Analyst: Got it. Very helpful.
Nicholas Chong: Yes, thanks.
Unidentified Analyst: Thank you very much.
Operator: Your next question comes from Nora Zhang from Merrill Lynch. Your line is open. Please go ahead.
Nora Zhang: Hi. Good evening, management. Thank you for taking my question. My first question is about the gross margin. We noticed that the gross margin was 2% lower than the second quarter. Can you help us understand the reason behind?
Nicholas Chong: Yes, I think the – okay, yes, there is a 1% something change versus Q2. I think part of it is because we have increased the spending on IDC because we have – for the video production, that's part of the reason. And also the other one is staff costs related to content. Content, those editorial team and because we also have enhanced our so-called media capabilities, we have increased like on radio and video as well. So that's part of the reason why the margin has dropped slightly.
Nora Zhang: Understood. So just a follow-up, so is this a trend going forward? I mean on the gross margin side.
Nicholas Chong: I think the gross margin will be – I think we still have pretty good scale on that. I think the gross margin I think will be still in the 80s, yes.
Nora Zhang: Understood. I have a second question. So you mentioned that the company will continue to invest in the transaction business and we noticed that the company has been adding headcount. So do you think we can still maintain the non-GAAP margin at 30% next year? And also, can you let us know the potential impact from that headcount expansion? I mean the absolute number, can you give us an estimation?
Nicholas Chong: Okay, Nora. Actually we are still in the process of working on the budget both internally and externally, because that's where the – we have to work with the OEMs and the dealers to get a better understanding of what is the next year budget. That's one thing. And then internally, the way we run it, as we shared also in the prior earnings call. I think going forward, the way we look at it will be one, is on the existing business which includes the media business and the lead gen business. The other one is what we call the newer business, which is the new car e-commerce and the used car. I think the margin profile in the revenue mix – the margin profile is quite different between the two sets of business. So I think the – going forward, that's how we will look at it. It's like the new businesses, so the existing business, which is media and lead gen, will continue to be able to run at high 30s in terms of the non-GAAP net margin. Then on the new businesses, we'll have to look at the scale of the business because the – partly adding on the new business we will still try to run it at positive gross margin. And then what is key then is if we can bring up the volume, obviously that will help to spread the headcount investment.
James Qin: Okay. And we will have more scale, probably we're going to have more gross margin as well.
Nicholas Chong: Yes. Yes. So, it's how to make it a good so-called virtuous cycle. So I think we are working through the budget and once we get more information we will update the market.
Nora Zhang: Understood. Thank you so much. That's very helpful.
Operator: Your next question comes from Piyush Mubayi from Goldman Sachs. Your line is open. Please go ahead.
Piyush Mubayi: Thank you for taking my call, Nicholas, James. I have a question on the growth rate that you were sharing with us for 4Q of 31%. When I look back at the sequential or sorry the year-on-year growth rates that we had in 2014, we had some bumper quarters including 4Q, an exception being third quarter when it was only 65%. If I go back one more quarter, it was 72%. And then I look at the sequential – the growth rates that we saw in Q1, Q2, Q3 of this year, we were at 82%. We then got to 70% and then we dropped to 65% for the quarter, which is also a very strong number and then we’re down to 31%. So just looking at this trend into 2016, I know you said you're not giving any color on 2016 numbers, but if I look at the trend going into the New Year, it looks like there is a slowdown taking place because your base has become quite large. Would you be able to comment on that?
James Qin: I'll probably take that first comment about that. I think let's think about Autohome in two business. One is the existing business, which is our revenue core. That is the advertising and the lead gen business. We foresee that business venture into 2016 is going to have a very healthy growth trajectory. I think in 2015, as Nicholas had mentioned, the Q4 guidance is mainly taking into the consideration of the current economic condition as well as the auto industry trend. We don't think that trend is going to continue into 2016. So that's on the core business. On the new business side, which is the auto e-commerce – the used car business, our auto e-commerce business, currently majority – most of our revenue are coming in the form of a commission base rather than we're taking the revenue of the whole GMV. So that really depends on our 2016 business model, so that's a very different line of business. If we're taking the whole GMV as a revenue, I think then we're going to have a very high revenue number with a relatively small gross margin or even a small net margin on that business line. So that's the new car e-commerce. On the used car business, because China's currently a used car market as you all probably are aware, that quite a few private companies attract significant venture capitals. So over there, the competition will be fierce. And we actually don't see there is a very good chance for us to increase our revenue significantly because of the increased competition. So hopefully that will share some of the color of what we view in 2016.
Piyush Mubayi: Thank you.
Operator: Your next question comes from Gregory Zhao from Barclays. Your line is open. Please go ahead.
Gregory Zhao: Hi, James, Nicholas and Edith, thanks for taking my question. I have several questions. So the first question is about some potential consolidation opportunity. So with the challenge in that sector, either having a runoff merger and acquisition in the auto space, in the online video space and online travelling sector, so does the management expect any such kind of a consolidation would happen in the online auto sector, for example, between us and our competitors? This is my first question.
James Qin: I think it's difficult for us to comment on the market rumors and let's just focus about Autohome's business. I think that's where we have more to share.
Nicholas Chong: That's right.
Gregory Zhao: Okay. Thank you. My second question, I want to ask several time points. Like the first one is when most of our OEM customers will determine their 2016 advertising budgets and determine their allocation of the advertising budgets? And the second time point is when will we complete in negotiation of the advertising price increase for next year?
James Qin: We reserve – Autohome reserves the right to increase our price twice per year. But usually, in the past, we usually only increase our price annually like around the March timeframe, March, or late March/early April timeframe. And in terms of the budgeting setup, I think for most of the OEMs, when they set up their marketing budget and advertising budget it's usually by the end of year because most of them have the financial year starting January 01. However, I think mainly from Autohome's past experience is, we engage China's carmakers extensively in – around spring break. If the Chinese New Year is late, we talk extensively in January. If the Chinese New Year is early, we have to talk to them in February. So around that first quarter is mainly when we set out the annual framework budget with the carmakers.
Gregory Zhao: Okay. Thank you. My last question is about our mobile monetization progress. So can you share the color like the revenue contribution of mobile to our overall OEM advertising? And was there any plan for the double 11 promotion on our mobile site? Thanks.
Nicholas Chong: I think on the – Greg, let me answer you on the mobile. So I think the mobile monetization is progressing well. The mobile revenue increased 76% Q-on-Q and more than four times year-on-year. And is right now, in Q3, makes up 21% of our OEM advertising is coming from mobile. And also, mobile accounted for 67% of the sales leads. So I think it's moving in the direction that we want. And then I think you probably also heard James talk about it in the script. In Q3, we had - the mobile DAU has increased from RMB9.8 million to RMB11.9 million and the MAU has increased from RMB100 million MAU to RMB135 million. So that's on the mobile side.
Gregory Zhao: Okay. Thanks. James, thanks. Nicholas, very helpful.
Nicholas Chong: Thank you.
Operator: Your next question comes from Nathan Snyder from CLSA. Your line is open. Please go ahead.
Nathan Snyder: Thank you. I've got one question. Thinking longer term and strategically, if we look out three years and we think of the monetization method for used cars and transactions, do you think that that will be part of the subscription or do you think that will be an additional commission based model?
James Qin: Sorry, can you – could you repeat your question?
Nathan Snyder: Yes. So if we think about the monetization, right now you have subscriptions and then you have the ability to up sell additional products. And as you said, next year you're looking at taking a commission on a per transaction basis. If you look out three years and you think about the way you'd like to structure it, do you think that as you sell transactions that will be part of the subscription or do you think that will remain as an additional product that’s sold on a standalone basis?
James Qin: I think that this is a wildcard guess, don't hold me accountable for that. I think it really depends on who will be the core of the used car business. For example, if the core of the used car business will be driven by dealers, the authorized dealers, I would assume the subscription model will be a common one because the majority of the authorized dealers have a similar scale. And in trade, they all engage into the used car business, so they are – they will have similar scale. Then from Autohome's point of view, it probably is much easier for us to engage with them initially as a subscription model and later on move into more performance-based and transaction-based model. So that's one. Secondly, if in the future, next three years in 2018, the core of the used car business will be driven by the non-authorized dealers mainly the large dedicated used car dealers or some small mom and pop shops, then a subscription model will be very different because then the scale of those dealers will be all over the place. And it's very difficult to offer a fixed fee subscription to everyone because their sales volume will be very different. So basically, from Autohome's point of view, that is our take.
Nathan Snyder: Okay. And a follow-up then, so if it's the first scenario where you have official dealers and you're able to charge a subscription, what does that mean in terms of pricing, James? How do we think about the ability to raise the ARPU compared to just transferring products from the subscription? So in other words, if you're generating 100 leads, do you stop giving them as many leads and charge the same price for the used cars of the transaction or are you able to raise the pricing for the subscription?
James Qin: That basically is – I would imagine that would be an add-on module to the existing subscription and the price will charge differently.
Nathan Snyder: Perfect. Thank you.
James Qin: Because think about that subscription. You need to – the way you measure your commercialization is based on the take rate per subscription, how much sales you facilitate for those dealers and what is the take rate of per vehicle from their point of view. So that is the monetization of commercialization method. Alright?
Operator: Your next question comes from Thomas Chong from Citi. Your line is open. Please go ahead.
Unidentified Analyst: Hi management. This is Jean on behalf of Thomas Chong. Thank you for taking my question. I have two quick questions. The first one is, could you please share with us the percentage of dealers that subscribed to your premium packages in Q3? And my second question is, regarding your OEM advertising revenue, did you see any market share loss to other media channels or other [indiscernible]? Thank you.
Nicholas Chong: Okay. I think the answer to the first question is about 45% of the dealer subscription is on premium. And then on the second question as to whether we are losing shares, I don't think so because we continue to grow well above the market.
James Qin: Industry average.
Nicholas Chong: Yes, industry average. If you look at the first three years, so we are growing more than close to 60%, 50% plus, 60%. So we have continued to gain shares.
Unidentified Analyst: Thank you.
Operator: Your next question comes from Anne Shih from Brean Capital. Your line is open. Please go ahead.
Anne Shih: Hi James, Nicholas, Edith. Thanks for taking my questions. First, just a quick follow-up on near-term margin. The first nine months did better than I think the 30% for the full year, which was mentioned earlier I think closer to about 33%. So I was just wondering where incremental spending will be focused on in the fourth quarter or should we expect margin to be more impacted by that mix shift? Secondly, mobile OEM advertising has been growing pretty quickly. Could you share any color on how mobile advertising for dealers is developing and do you still see this as a cost-per-lead business? Thank you.
Nicholas Chong: Okay. On the first question, I think the – frankly, the ultimate margin depends on the revenue that we finally came in. If I had to comment on the few big spending items, one is on sales and marketing. I think we would see some increase in the Q4, partly because we would have – in Q4 we will have the full quarter of PC Aladdin spending versus in Q3 we only had it for about one and half months or slightly less. And then the other one is that also we have the November 11 event. And then headcount, we ended at about 2,087 headcount in Q3. In Q4, I think we will end our headcount around 3,100 plus, so there will be some absolute dollar increase on that. So those are the areas that we will have some increase in terms of spending on an absolute basis. But of course Q4 revenues also increase versus Q3. Yes, so for the full year, we still look at non-GAAP net margin to be around 13%.
James Qin: I'll comment on the mobile monetization, especially the OEM advertising – especially on dealer advertising site. I think most of our mobile monetization on the advertising side coming from the OEM advertising because that is a very efficient way for China's carmakers to really target their audience and also through Autohome's platform. On the dealer advertising, at this point, both the mobile sites and mobile application probably is not the best – cannot provide the best ROI from the advertising point of view. However, I think dealers mainly spend on our mobile platform as a tool to generate sales leads for them over the last nine months. And what we can see is that the sales leads generated over the mobile platform compared with the whole market actually grow in a very healthy way. I think right now, in the third quarter, we – the mobile account for about three-third of total sales leads generated from Autohome's platform. Two-thirds, sorry. Two-thirds, sorry. Two-thirds. Three-thirds is 100%.
Anne Shih: Okay. Thank you.
Operator: Your next question comes from Ming Xu from UBS. Your line is open. Please go ahead.
Ming Xu: Hello James, Nicholas, and Edith. Thanks for taking my question. I have three questions. So the first one is, if we look at the major business line of OEM ad, dealer ad and dealer subscription, can you give us more detail on their specific growth in Q4? Especially for the OEM, as Nicholas you mentioned that in Q4 a lot of the OEMs this year, because they cannot achieve their sales target, so they may move their budget for next year. So should we expect a – maybe a substantial slowdown in your OEM ad growth in Q4? That's my first question.
Nicholas Chong: I think what I said was, I think this year -- this last year was, they have the – Q4 last year, they still have a very good growth momentum. So I think that's why I think we saw an increase in spending in December last year, whereas this year I think most of the OEMs would not meet their sales budget at the start. So I think some of them will probably just keep the profit. But next year, advertising budget is a fresh budget for them. So it's not related to this year's spending, so that's one. I think on the mix of our revenue, I think we – in Q3 we saw about 55% of our business comes from the dealer yellow page and 45% from OEM advertising. And then in Q4 we see a similar trend as well. So I think – again, so we don't think that we are losing shares. I think we are still grabbing a big share of their budget. It's just that they are probably spending less overall.
James Qin: I think from Autohome's point, if you look at the business in the annual basis because both our customers face the OEM carmakers as well as the dealers and use their budget as annually. So there is a lot of budget shift between different quarters, but annually it would be relatively stable. So if you look at Autohome's annual growth rate, annually we have about close to 60% year-over-year, it's well above anyone in our industry. So we feel pretty comfortable about delivering a very good annual…
Nicholas Chong: A good margin. Yes.
Ming Xu: Thanks. So my second question is, I notice that in your mobile traffic you have 64 million from web business and your website and 5.5 million business within your app. So just curious, can you share us about the traffic acquisition cost for these two channels, specific channels? And also, if one is higher than the other? Is there any way you can do to maybe to attract more – to guide more traffic to the lower cost channel so that you can save on the overall traffic acquisition cost? Thanks.
James Qin: I think the mobile apps and mobile websites are very different products. To answer your question in a nutshell, definitely in terms of traffic acquisition we pay a lot more on the apps for DAU than on the mobile browser. That's a reality of China because think about this, most of China's Android applications stores are all very much commercialized. So if you do not pay – there is no free inclusion for those stores. However, on the mobile browser side, China's consumers will feel a lot easier to find Autohome. And we definitely saw that our traffic grew faster than the marketing spends, despite there has been some one-time spending in Q3 this year as we're celebrating our 10 years anniversary. But the growth of our mobile traffic sales figures and mobile revenue has also proved that our investment very effective. So I think to answer your question in a direct way. However, I think because mobile apps and the mobile browser attract very different type of consumers, from Autohome's point of view, the mobile – the native apps definitely provide a much better stickiness from the consumer point of view. And so it's very hard to say should I spend more dollars on the mobile browser and make all my consumers go to the mobile browser site? Probably that is not happening. Even if I spend more dollars it's not going to be that way. The mobile browser is more or less – is more like the PC browser.
Ming Xu: Okay. Got it. Thanks. So my last question is on the upcoming Singles' Day event. So do you have – and so you mentioned that you don't want to disclose any target for 2016, but could you just share with us more color on the upcoming event? Do you have any specific target or event or your expectation on that? Thanks.
James Qin: Yes. Sure. If you remember, in the historical November 11 event, every time we trial different things to build a foundation of Autohome's transaction platform. So for this year, there is couple of things we want to emphasize. The first one is price transparency. So rather than only offer the coupons to consumers, we actually can offer consumers one-stop shop to really buy things over their Internet. And secondly is for the personalized recommendation. For every consumer, we are going to do a profile and based on that profile, we'll automatically give recommendations to those consumers based on our data analytics platform. So this is the first time we're doing so. The third one is multichannel sales and promotion. We actually done a joint venture with the HappiGo. The name is called Mango Auto, Mango [indiscernible]. So that company will be participating into the November 11 this year. Simultaneously, we'll be promoting our Single Day's sales event through the TV shopping channel of HappiGo as well as the online shopping channel of Autohome's Autohome Mall. So local buyers in the Hunan Province can even go to our newly opened Auto Super store to do the order fulfillment. Lastly, is the aftermarket services offering. So we’re currently offering various type of financing products for the car sold on our platform and we also provide delivery services for buyers in selected cities through third party collaboration. So those are the things that we're trying out this year. And hopefully it's going to give us a good result and it will build a foundational stepping stone for our future growth on the auto transaction business.
Ming Xu: Sure. Thanks. Just a very small follow-up. So we know that HappiGo is actually owned by Hunan TV. So is there any overlap or conflict between your cooperation and the – its cooperation with Alibaba? Thanks.
James Qin: Currently, we don't see any conflict of doing business with HappiGo. But to correct, I think HappiGo is not a subsidiary of Hunan. It is wholly-owned by Hunan [indiscernible]. They're two companies, two separate companies.
Ming Xu: Okay. Thank you. Thanks. That's all my questions.
Operator: Your next question comes from Liping Zhao from CICC. Your line is open. Please go ahead.
Liping Zhao: Hi James, Nicholas, and Edith. Thank you for taking my questions. I have two questions. The first one is could you please share the transaction volume of B2C online transaction platform for third quarter? And what percentage of the revenue are from the online transaction?
Nicholas Chong: I think in Q3 we have 30,000 new car sales, so got 30,000 transaction in Q3. I think we are encouraged by the fact that I think in Q3 we started more co-operations with more OEMs. I think what James shared in his script, there are a few brands like Peugeot and then Chery and others. So they are quite – and we are able to sell some of those getting to 700, 800 units per month. So I think we are encouraged by the progress in Q3 because Q3 is also the quarter that we started to do the B2C. Hello, Brenda.
Operator: Your next question comes from Gregory Zhao from Barclays. Your line is open. Please go ahead.
Gregory Zhao: Hi, Nicolas. I have a follow-up question. So I think the company's account for next year revenue growth is a little conservative. But actually for – because of – I think maybe because of the relatively soft guidance for Q4. But I did some massage of our Q4 – 2014 Q4 numbers, I mean the Q4 number of last year. If you would normalize the growth rate to around 70% year-on-year growth and 23% Q-on-Q growth, so we can see actually this year's Q4 can still maintain around 60% year-over-year growth. So for next year, I think maybe the target not that conservative, so maybe can we still expect around 40 % to 45% top line growth for next year?
Nicholas Chong: I think, as we mentioned, going forward, we will look at it from both the existing business and the new businesses. I think existing business, we still can look at 30% to 40% growth I think. For now, I think we'll get more clarity, again, in one to two months time as we move through the budget with the OEMs and the dealers. But I think so far – I think we remain long-term confident about the auto industry.
James Qin: Okay. Thank you. If there is no further questions at this time I will turn the conference back to – thank you very much for joining us today. We really appreciate your support and we look forward to updating you on our fourth quarter and full year 2015 conference call in a few month time. In the meantime, please feel free to get in touch with us if you have further questions or comments. Thank you everyone.
Nicholas Chong: Good. Thank you.
Operator: That does conclude our conference for today. Thank you for participating. You may all disconnect.